Vipul Garg: Hello, everyone. I'm Vipul Garg, Senior Vice President, Investor Relations at MakeMyTrip Limited, and welcome to our fiscal 2026 first quarter earnings webinar. Today's event will be hosted by company's leadership team comprising Rajesh Magow, our Co-Founder and Group Chief Executive Officer; and Mohit Kabra, our Group Chief Financial Officer. As a reminder, this live event is being recorded by the company and will be made available for replay on our IR website shortly after the conclusion of today's event. At the end of these prepared remarks, we will also be hosting a Q&A session. Furthermore, certain statements made during today's event may be considered forward-looking statements within the meaning of safe harbor provision of U.S. Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance, are subject to inherent uncertainties, and actual results may differ materially. Any forward-looking information relayed during this event speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. Additional information concerning these statements is contained in the Risk Factors, Forward-Looking Statements section of the company's annual report on Form 20-F filed with the SEC on June 16, 2025. Copies of these filings are available from the SEC or from the company's Investor Relations department. I would like to now turn over the call to Rajesh. Over to you, Rajesh.
Rajesh Magow: Thank you, Vipul. Welcome, everyone, to our first quarter call of fiscal 2026. The first quarter of the fiscal year is typically a high season for our leisure travel. And this quarter also started on a similar note, with strong demand momentum and booking growth in mid-20s in the month of April. However, domestic demand was impacted due to the unfortunate incident Pahalgam, leading to geographical escalations in the month of May, and the tragic crash of a passenger airplane in June. While domestic demand for leisure travel was particularly weak for domestic leisure destinations for air travel and holiday packages, being a one-stop shop on travel allowed us to drive growth from other travel services, other modes of transport as well as ancillary travel services catering to non-leisure travel use cases. We also continue to drive growth in international travel, where online booking wherever is growing and the overall demand was relatively less impacted. And last but not the least, we managed to continue the growth momentum in our corporate offerings. As a result, despite the exceptional macro headwinds during the reported quarter, I'm pleased to report that we delivered very good top line growth on our hotels and packages, bus and ancillary business segments, and also managed to grow market share in domestic air segment marginally from 30.6% to 30.8%. Our adjusted operating profit for the quarter was also at $47.3 million, witnessing a growth of 21% year-on-year. We believe this impact is short term in nature and doesn't materially alter our view of the travel sector's long-term growth prospects of the Indian travel and tourism market. India's travel sector is poised for strong long-term growth driven by rising disposable income, infrastructure upgrades and fundamental shift in consumer behavior to spend more on travel. Indian consumers are increasingly prioritizing experiential travel activities and experiences. There's a clear shift toward taking multiple holidays and short breaks throughout the year, signaling a structural change in travel consumption patterns, which bode well for us. International outbound travel from India presents a significant growth opportunity as well, with more Indians either to explore global destinations, short-haul markets are gaining traction driven by better air connectivity, simplified visa processes and rising preferences for quick getaways. For Q1 fiscal year '26, our international air ticketing revenue grew by over 27% year-on-year, outpacing industry growth. Similarly, our international hotels revenue grew by over 45% year-on-year. Our international business now contributes about 27% to the overall revenue, up from 24% during the same period last year. Let me now turn to the business segments, starting with the air ticketing business. As mentioned before, this quarter was impacted by operational disruptions, particularly for domestic market due to uncontrollable factors. However, we delivered above-market growth and gained share in our air business. As part of our ongoing efforts to enhance customer experience, we have launched a new version of our zero cancellation product for domestic flights, designed to boost user confidence and repeat usage of usage for frequent domestic flyers. We've also further streamlined the airport transfer booking process for domestic flights. Travelers can now conveniently reserve a [indiscernible] their choice from a wide range of options while booking their flight. For our international travelers, we also expanded our lounge offerings to include [indiscernible] from 131 international airports. Customers can now conveniently purchase airport lounge access while booking their international flights, enhancing their preflight experience. Our accommodation business, which includes hotels, home stays and packages delivered healthy growth despite a lower share of leisure bookings this quarter due to macro disruptions, particularly for our 100% leisure focused to packages business. [indiscernible] key summer travel destination [indiscernible] to this inflow this quarter due to the unfortunate incident in Pahalgam that's affecting our growth. Gross booking value of hotel and packages business grew by 15.3% year-on-year in constant currency for Q1 fiscal year '26. Gross bookings for stand-alone hotels business, however, grew by 19.4% year-on-year on a constant currency basis. While domestic leisure travel faced headwind this quarter, other segments, including corporate, travel and international outbound delivered strong growth. As we deepen our reach across the country, we see good traction from Tier 3 cities, reflecting rising travel adoption in smaller cities. In line with this trend, we continue to expand our supply base in the domestic market. We now have 91,000-plus accommodation options available on the platform covering 2,000 plus cities in the country. For international market, on the other hand, we have been expanding our international hotel supply through our direct contracting strategy focused on high demand outbound destinations. In the past year, we have added over 2,000 directly contracted hotels across 50 cities in 20 countries. These lifted cities collectively account for more than half of India's outbound travel. During the quarter, we partnered with [ Premier Inn ], the U.K.'s largest hotel chain. The addition further -- this addition further strengthens our international hotel portfolio with a brand known for its scale, reliability and value, offering Indian travelers more relevant choices across key cities in the United Kingdom. Our product strategy is built on deep consumer insights and leveraging Gen AI. This is helping us transform hotel booking experience on our brands through a robust and comprehensive knowledge graph that indicates -- integrates hotel data reviews, images, location insights and user intent. This enables natural language search and context with our recommendations as well. As the graph evolves, it will unlock more personalized and relevant results for our customers. Recognizing the influence of food and hotel selection by India travelers, we have made dining-related content, a key product priority on [indiscernible]. From showcasing on-property dining options like rooftop lounges and specialty cuisines for premium travelers to highlighting availability of vegetarian and [indiscernible] in religious destinations, we have scaled food-related data coverage to over 21,000 properties across India. This allows us to deliver more context of our hotel recommendations based on travelers' culinary preferences. Another emerging trend among Indian travelers is wildlife tourism. We have prioritized this insight by enriching our content and discovery segments. With increasing interest in nature-based experiences among families and small groups, the proximity of hotel to national parks, safari gate or forest buffer zone has become a key factor in trip planning. For over 2,000 properties, especially near wildlife hot spots, we now surface these details, prominently driving higher engagement and conversion. In our holiday packages business, international outbound packages continue to scale well, with Japan leading the growth followed by Africa. For international, we continue to add destinations and options for travelers. We launched packages for Jordan, with the start of direct flights from Mumbai on [ Royal Jordanian Airlines ]. We also launched packages for [indiscernible]. Our home stay business continues to scale. We continue to build the category and expand our home stay supply. We added more supply in our top 18 [indiscernible] major cities led by [indiscernible], which witnessed a 103% increase in new rooms on the platform versus same quarter last year. The supply in business cities grew 46% year-on-year with notable growth in new rooms in Mumbai, Delhi, Bangalore, Hyderabad and Gurgaon. Among international travelers, particularly solo travelers, families and groups, we have observed a rising preference for alternative accommodations such as hostels and apartments. To cater to this shift, we implemented targeted interventions to surface these property types to relevant customer cohorts in Europe and other key destinations. As a result, we saw an improvement in the share of alternative accommodation in our international business. In our bus business, growth further improved in Q1 fiscal year '26, with all regions growing in double digits. Our growth continues to be broad-based with all regions growing in double digits, with North and East outpacing traditional bus markets like South and West during the quarter. We are also noticing significantly higher growth from pilgrimage and Tier 3 destinations. Inventory addition remained buoyant throughout Q1 fiscal year '26, with private inventory crossing 44,000 daily schedules by the end of the quarter. This was driven by new bus addition by existing operators, which are predominantly sleeper buses in long routes, including the additional 90 plus premium [ Volvo ] buses in the quarter. This trend of investment in new buses is likely to continue in the coming quarters. For RTCs, government business too, we saw a significant increase in inventory with the acquisition of GSRTC, Gujarat State Roadways Transport Corporation. [indiscernible] 4x increase in digitalized inventory from UPS -- UPS RTC. This has resulted in RTC inventory crossing 40,000 daily schedules as of June. Our international bus business continues to be promising. In Malaysia, which is a big market and where we are the market leader with a healthy market share in online bus booking, we are adding more adjacent products such as ferries and activities. In other countries, we are in the market making mode and seeing steady progress. We continue to strengthen the customer proposition within our trains business. This quarter, we launched an industry-first seat availability prediction feature, powered by a machine learning-based forecasting model. By integrating real-time set availability segments within the booking funnel and deploying targeted notifications, we have enabled more confident and timely booking decisions. For our cabs business, we continue to scale both airport transfer and intercity cabs. During the quarter, we launched flight track cabs to ensure seamless airport to city rides for our customers. By using real-time flight data, we dynamically adjust cab pickup times, guaranteeing timely service whether a flight is delayed or arrives early. This initiative has improved our service reliability and has led to higher NPS. We plan to enhance accuracy using data science, increased supply participation, and scale this across all our platforms. Our corporate travel business via both our platforms, that is myBiz and Quest2Travel, is witnessing strong growth. Our active corporate customer count on myBiz is now over 66,500 plus compared to 59,700 customers during the same quarter last year. And for Quest2Travel, active customer count has reached 515 large corporates compared to 458 customers in the same quarter last year. Looking ahead, we remain optimistic about the long-term growth prospects of the Indian travel sector and are firmly committed to delivering sustained value to our customers, partners and stakeholders. Before I conclude, I want to extend my sincere thanks to all our existing and new shareholders and investors for their trust and support in our recent capital raise, which contributed to making it a very successful offering. With this, let me now hand over the call to Mohit for the financial highlights of the quarter.
Mohit Kabra: Thanks, Rajesh, and hello, everyone. We started the quarter with strong gross [ booking ] growth of 25.3% during uprate, which tapered out during May and June due to multiple macro challenges that Rajesh has already spoken about. What stands out during the quarter is that within the Indian travel market, we are able to leverage our diversified mix to grow faster in other segments in domestic air ticketing and holiday packages demand was [ muted ]. Secondly, dial up our corporate platforms when leisure demand was impacted, also pushed international offerings when domestic demand was subdued. And lastly, drive operating leverage by impacting cost levers when growth seemed to have muted despite big travel seasonality. This performance underscores the importance of our diversified business portfolio, disciplined financial management and operational agility. For the reported quarter, revenue as per IFRS grew by 7.8% year-on-year in constant currency to $268.8 million from $254.5 million in the same quarter last year. The growth was impacted due to a series of external events. Our profit for the quarter was $25.8 million compared to $21 million during same quarter last year, registering 22.6% year-on-year growth. Adjusted operating profit registered a growth of 21% year-on-year and reached $47.3 million compared to [ $39.1 million ] in Q1 of last year. Moving on to our segment results. Our air ticketing adjusted margin stood at $97 million, registering a growth of 11.5% year-on-year in constant currency. Take rates for the air ticketing business were in line at 6.8%. In the domestic air market, we maintained our market share despite the macro challenges at over 30%. Our international air ticketing business continues to grow faster than the market [indiscernible] market share. Volumes in this segment grew by over 21% year-on-year, which was almost 3x the market growth of 7% during the quarter. Mix of international air ticketing business revenue has now reached an all-time high of 42% compared to 37% during the same quarter last year. In the hotels and packages segment, registered margin growth was 16.3% year-on-year in constant currency, resulting in an adjusted margin of $121.9 million during the quarter. The [indiscernible] was lower than expected as the holiday packages business was largely flat year-on-year because of domestic leisure travel being impacted despite the [indiscernible]. Take rates for the quarter were in line at 17.7% in this segment. As Rajesh has already explained, we have also been increasing directly contracted international accommodation auctions, particularly in destinations where direct connectivity has been established and select long-haul destinations, which are of great interest to Indians. As a result, the mix of international in hotels and packages revenue reached an all-time high of 25.2% during this quarter, up from 21% during the same quarter last year. In our bus ticketing business, the adjusted margin stood at $42.6 million, registering a strong year-on-year growth of over 34.1% in constant currency terms. Take rates for the business were in line at 10.3%. Our ground transport business, which includes rail intercity cabs, and is reported under the others category, registered strong growth. Gross bookings for the quarter stood at $71.8 million, witnessing a growth of 31.6% year-on-year in constant currency for the ground transport businesses. Most of the ancillary services reported under others category, such as travel insurance, forex, et cetera, also grew very well during the quarter. As a result, adjusted margin from others category came in at $21.5 million, witnessing a strong growth of 47.4% year-on-year in constant currency. We remain focused on building operating cost efficiencies in driving operating leverage in our fixed costs, including personnel, selling and general administrative expenses. Similarly, our customer acquisition cost, that is our marketing and sales promotion expenses, continue to remain efficient. Quarter 1 and quarter 3 are generally higher brand marketing expense quarters in line with the seasonality. In this quarter, we were able to partially roll this back through the tepid months of May and June. As a result, our customer action costs came in at 5.1% of gross [indiscernible] value. All other expenses were in line and helped us expand the overall adjusted operating margin from [ 1.64% ] of gross booking value during Q1 of last year to 1.8% of gross booking value during the current reported quarter. We ended the quarter with cash and cash equivalents of $804 million, and we'll continue to look for inorganic investment opportunities during the year. During the quarter, we were also able to significantly dial up on our share repurchase initiatives. We raised additional capital of approximately $3.1 billion through a primary offering of ordinary shares and 0 coupon convertible serial notes. The entire net proceeds from the offerings were used for repurchase of Class B shares. After the completion of the reported quarter on 2nd July 2025, we have completed the repurchase and cancellation of 34.3 million Class B shares. As a result of the repurchase, we have a total of 95.4 million shares outstanding compared to [ 111.3 million ] shares outstanding as of 31st March 2025. Trip.com is now the largest minority shareholder, with approximately 16.9% voting shares in the company. We would like to take this opportunity to thank our existing and new incoming investors who have participated in the [indiscernible] primary offerings. With that, I'd like to turn the call back to Vipul for Q&A.
Vipul Garg: Thanks, Mohit. [Operator Instructions] The first question is from the line of Sachin Salgaonkar of Bank of America.
Sachin Salgaonkar: Congrats on a good set of numbers in what was looking as a very difficult quarter. I have a few questions. First question, I know you as a company were targeting revenue and GMV growth of 20% or every year. Given the fact that 1Q is at a 16% growth on revenue, how should we think about the upcoming quarters in the sense that for full year, are we still aiming at a 20% growth? Or we might see growth lower than 20-odd percent? So that's question number one, but let me pause here.
Mohit Kabra: Yes, Sachin. Maybe I can just take that. If you really look at it across lines of businesses. If I look at across all lines of businesses, the adjusted margin growth overall stands at close to about 18.8%. So it kind of pretty close to the 20% mark that we were kind of wanting to achieve. This is kind of despite all the macro events that we have already talked about during the quarter. I think the [indiscernible] comfort that we are still on target to be in the high teens to 20s in terms of overall growth for the year as well.
Sachin Salgaonkar: So Mohit, in a way, what you're saying is the next 3 quarters, the growth would be better than 1Q to achieve your full year target of 20%, right?
Mohit Kabra: Yes. We do expect that we should be able to dial back growth because like we said, operating started off with much better growth, but it is the events of May and June, which have kind of brought down the overall number for the quarter.
Sachin Salgaonkar: Got it. The second question...
Rajesh Magow: Sorry, Sachin. Sorry, Sachin, if I may just add one important data point here. While what Mohit said about the rest of the segments in our commentary, we covered that on the domestic market was more impacted. I think we should look at constant currency growth number and the gap with nonconstant currency from a growth perspective is just 1.2%. So 18.8% is actually growth for constant currency overall.
Sachin Salgaonkar: Second question, just wanted to gauge the consumer sentiment out here. I know, because of the 3 one-off issues, be it India, Pakistan conflict, Iran, Israel or to that matter, even an Air India plane going down. Clearly, the near-term consumer sentiment was negative. So just wanted to understand, as we head out of 1Q, are you seeing an improvement in the sentiment? I do understand, from a seasonality perspective, 1Q, 3Q was strong. But keeping aside seasonality, do we see the consumer sentiment improving? And a related question perhaps is obviously, for the last couple of years, we are seeing a bit of an air supply issue. If anything, that supply issue has again increased, so I would love to get your thoughts in terms of how we should see that also.
Rajesh Magow: Maybe I can take that, Sachin. So we have started seeing the segment improving such an impact. If you look at the overall daily loan data, first in the domestic market and then look at the international flowing data, you would see the trends. April, the daily flow numbers were actually were pretty close to the average of the previous quarter and the impact was May and June. But if you really break that into literally day-on-day trend, you would see that the June numbers have started to come back. So we do see the overall sort of sentiment improving. We obviously see data on our platform in terms of booking transfer, even leisure destinations, slowly and gradually coming back as well. So I do think, like I was just saying it as part of the commentary as well. That this is not -- this is like a temporary disruption. I don't think it's going to sort of change the structural shift that was happening on consumer behavior on spending more as part of their discretionary income on travel or on any other experience. I don't think so, and we've seen that sort of recovery already happening. Slowly and gradually, obviously, it'll pick up this -- our running quarter is non-season travel quarter as well. But in keeping that in mind, keeping seasonality in mind, we do see the sentiment coming back. We also keep doing our own sort of consumer sentiments survey. And there also, we've started to see the recovery trend week on week. And on the supply side, yes, there was a temporary disruption, and this was completely this time around from a different reason -- for a different reason, right? This was just more for the safety check for the previous planes and all the partners just being absolutely making sure that they had to double down on safety checks, et cetera. And because of which some temporary announcements were made. But there also, we have started to see planes coming back, the overall sort of daily departures coming back to track. And as far as travel or daily flown traffic is concerned, that, in any case, relatively was less impacted, and we see that sort of coming back as well. So I don't think, on the supply side, anything changes from what our narrative was, let's say, beginning of the fiscal when we had reported our last year results -- last quarter results of last fiscal and full year. It remains the same. It seems like this impact was in the quarter, and we see the recovery happening, and it should go back to the sort of same level of April in terms of just the supply that was already there in the market. So I don't really see any further situation deteriorating from what it was at the beginning of the fiscal.
Sachin Salgaonkar: And my last question is on a potential IPO in India. And as you know, after [indiscernible] selling down stake and coming below 20%, few investors do have some expectations about a potential IPO in India. I know management in the past had reiterated listing in India as a medium-term aspiration. But would love to get an incremental update from you guys? Anything we as analysts and investors need to watch out for us to get a sense that if indeed there is a thought process and there is a clarity about the potential IPO, what are some of the events to watch out from that perspective?
Mohit Kabra: Sachin, maybe I can take that. You're right. And I think I'd just reiterate that it continues to be midterm opportunity for us to look at. Like we have been calling out in the past, the Indian capital markets is something that we'll definitely look at. [indiscernible] opportunity to kind of [indiscernible]. The current exercise that we trade was largely more repurchase program. And like we have always said, the current shareholding pattern that we had, even [indiscernible] purchases wasn't really returning to any kind of capital market activity globally or within India. So I think the eventual listing in India is going to be more linked to fundraise plans as they materialize. And right now, like I called out, we have only added further to the balance sheet through the quarter. And we're currently sitting at about $800 million of cash and cash equivalents. So unless we find a significant reason to deploy a large amount of funds, I think the India plan [indiscernible] midterm opportunities [indiscernible] short term opportunity.
Vipul Garg: The next question is from the line of Manish Adukia from Goldman Sachs.
Manish Adukia: My first question is on, again, demand. So when I think about your international segment, which again, has done like a really good quarter. Air, you mentioned 27%; in hotel, 45%. And now the overall international segment is more than 1/4 of your revenues. So one, I just want to get a sense of do you think this runway of 30% plus growth on a blended basis is still like a long way to go, and you can continue to deliver on this number for some more time? And is it largely a function of you adding more supply? Or is it also a function of continued shift to online on the international side? And a related question there is you gave the monthly booking data for April, May and June for your overall segments, air hotel and bus. Was the trend similar for international as well where April was very strong and then May and June worsened? Or was the trend in international different? That was my first set of questions.
Mohit Kabra: Maybe -- Sorry, go ahead.
Rajesh Magow: Okay. Maybe I can just start with that, and then Mohit you please add. So Manish, you're absolutely right, 2 reasons you've already actually called out, and it's a combination of the 2. I'll give you one more reason. On the international trend, 1 -- 2 that you called out is underpenetrated online market, which is absolutely true. Behavior is going more and more towards online booking. And the second is we are doing a lot of effort on adding supply on all -- on both the segments directly contracted. Of course, just working really how to also picking up consumer insights to improve the product experience as well. But I'll tell you one more macro reason for this. And that is about the overall sort of country growth. Consistently GDP growing, rising income, disposable income growing also is sort of leading to sort of international travel -- the overall international travel growth as well. So that is the third macro reason. And it's likely to be there for the foreseeable future. These -- all these macro drivers because there is headroom everywhere. So if the country continues to keep growing and the incomes continue to keep rising, you will see more and more urban population tier 1, tier 2 cities especially, and look to sort of leverage and cash on the air connectivity improving, the direct flights air connectivity improving and also the  ease of travel, thanks to the certain short-haul destinations, the visa is becoming very, very sort of easy -- easily available for people and smooth experience for getting those visas without any hassles. All of these trends, if you really bring them together, would help the international travel segment to definitely grow. And from our strategic sort of direction standpoint, we're clearly doubling down on that.
Mohit Kabra: Maybe I can just add, Manish, that can go to 2 questions that you had. Yes, while Rajesh already covered the depth of supply, both for domestic and international, I would also say the overall bit supply because we keep on adding new ancillary services on the platform as well. So that's another -- one might be another kind of a source of incremental growth that we'll want to keep dialing upon. And of course, the continued shift from off-line to online will be driver as well. So just on the first question that you had, this would be the kind of drivers for growth. And on the second one, on international, while domestic was very, very tepid growth in May and June, international wasn't as impacted even through May and June. And therefore, we were able to drive much better growth to the international offerings that we have on the platform.
Manish Adukia: My second sort of question was on competition. So one, if you can just maybe highlight the general competition landscape, particularly from airline direct, has there been any change? And second, so one of the other listed OTAs, which reported results, I think, last week, their growth, at least on headline, looked stronger than your reported growth. Anything that you can talk about in the competition dynamics that may have changed in the market where any of the OTAs may have become slightly more aggressive than they were in the past? Would love to get your thoughts.
Mohit Kabra: I can think the second one, probably -- so in terms of [indiscernible] the overall competitive dynamics and shares of various OTAs or intermediaries in the segment, we've generally seen the #3, 4, 5 kind of changing places often. And this could be for multiple reasons. What we are kind of seeing largely across -- what we kind of actually more targeting across various segments, if you really look at it. On domestic areas, we've got a very strong leading market share of close to over 30%. And therefore, at that kind of a sizable share of the market, we kind of are pretty realistic that we would tend to grow in line with the market, and it's not going to be disproportionate to the market any longer. Whereas for some of the OTAs with kind of marginal shares in the segment, you could see a little bit of a kind of trend changing depending upon seasonality, depending upon competitive dynamics. But we are more focused on ensuring longer-term growth and longer-term market share remaining holding at the 30%-plus level. So that's more on the overall change in kind of market participants in the [indiscernible] there from. In terms of all competitive dynamics, no significant change as such, Manish, largely in line with what it has been for the last few quarters, for the last couple of years. Including on the direct side, I think the [ dialing ] of supply and direct is something which we have always said all suppliers will be kind of, of course, looking at maintaining or kind of increasing per share of direct share of the overall demand side. But we want to kind of make sure that we continue to gain a meaningful share of most of our suppliers. We are not looking at kind of doing 100% of any supplier, but you would want to have a rightful share and also provide distribution at the most efficient level and in the most effective kind of cost of distribution. And that's what makes sure that a longer-term kind of growth with each of the suppliers remains consistent.
Manish Adukia: My last question, more to you, is on just capital allocation. In the March quarter, we saw some buyback from public shareholders in June. Of course, you had that large share repurchase from [ Trip.com ], but outside of that, I don't think we saw any buyback. You obviously have $800 million of cash in the books and [indiscernible] significant cash. Is there like a formal buyback policy that you're looking at beyond what you've put in the letter that there's a maximum amount that you will allocate towards buyback? And from a buyback strategy perspective, is there like a certain share price number that you have in mind? And if it goes below that, you look to intervene and buy back? Or how are you thinking about that? Some color there would be helpful.
Mohit Kabra: Sure. Happy to share some color. And if you really look at it, during the primary offerings also, we had called out that we were looking to deploy up to about $200 million from the balance sheet to kind of achieve the objectives of the overall repurchase program of Class B shares, right? It so happened that we were able to kind of upsize the offerings and therefore, we didn't have to deploy from the balance sheet. Otherwise, the intent during this quarter was to largely deploy in terms of repurchase of Class B versus Class A because that kind of works even better from a company's standpoint and even from the point of view of the minority shareholders. So that's been the objective. That said, I think if you really look at it in terms of the overall size of the repurchase program, we've been able to significantly [indiscernible] for the quarter, within a transition that we have already reported, but we'll remain open to kind of dipping into further buyback even in the rest of the year because we haven't really deployed directly from the balance sheet through the quarter. Now in terms of a program, whether you want to get into a steady program, like we have said, at least at this stage, we want to kind of keep it more like an opportunistic program. And therefore, we'll deploy it as we believe there's a right opportunity to do so. But in the future years, we'll remain open to kind of looking at a steady program as well.
Operator: The next question is from the line of Aditya Suresh of Macquarie.
Aditya Suresh: The first one is on hotels. I had 2 questions within hotels. So one is, I mean so your stand-alone kind of room night book was up about 18%. I'm just curious to understand, was there any kind of down trading which you all witnessed our platform through the quarter?
Mohit Kabra: Sorry, you want? Say that again, Aditya?
Aditya Suresh: Was there any kind of drop in the average room nights -- the rate for room night booked in the quarter?
Rajesh Magow: No, I got it. I got it. A very interesting question. And very interesting sort of trend also that we noticed in the quarter. See, this is -- as we mentioned, this is supposed to be a high travel season quarter for leisure travel for sure, and that was muted. Just because overall sort of sentiment was down, general expectation was that there will be impact on ADRs or there will be -- the prices might go down significantly and all. The reality was that, that did not happen. It was like small, literally 1 or 2 percentage points in certain segments drop, but nothing significant, nothing material.
Aditya Suresh: That's really interesting. And then within hotels again, can you clarify what proportion of activity is [ MICE ] related? And was that a bit of a growth tailwind here for you this quarter?
Rajesh Magow: Actually, overall corporate, because it was non leisure travel use case, right? So it was nondiscretionary, if you will. Overall corporate and [ MICE ] is part of that corporate. Actually, it has been growing very, very well for us and continue to keep sort of growing even in the quarter that we are reporting out. And [ MICE ] was no real exception, but pretty healthy growth there as well.
Aditya Suresh: Okay. And then with ancillary services and bus, you've clearly demonstrated a really strong growth in this quarter. But just on ancillary services and kind of what you all speak about outside of ground transportation because there, I guess your margin is a full drop down. Growth here is strong. What sort of headroom do you all think about in terms of growth and the growth potential? Could we kind of think about this 30% kind of pace in growth sustaining, say, for the next 3, 4, 5 years? Or how do you all think about that opportunity?
Mohit Kabra: So yes, Aditya, we are kind of actually rolling out, like I said, we're kind of increasing the number of ancillary services that we are putting on the platform, and that is also another kind of a driver for growth, particularly in the other segment because all of these kind of largely get clubbed under others. And therefore, not just the debt of supply with the bit of supply in terms of new sales that we are putting in the platform, we continue to be a big opportunity. In fact, we have called out that this year, we also want to kind of dial up activities and experience as we can where as part of others to the extent that they get good on a stand-alone basis. So we kind of feel confident that with all the initiatives that we have kind of taken in the last few years and are continuing to take, this will be a segment which will continue to grow faster and possibly in the [ 30s ], even in the years to come.
Aditya Suresh: And if I may, Rajesh, if you can you just clarify, so there will be changes in the Board with kind of Trip's shareholding coming down. Could you call out any key changes which have happened from a Board composition perspective?
Rajesh Magow: Yes, I'll let Mohit take that.
Mohit Kabra: Sure. So essentially, the number of nominees from Trip.com has gone down by 3. So they now have only 2 nominees on the Board. And therefore, we've kind of brought in independence on the Board, apart from myself. So we've got 2 independents on the Board, and I have also kind of joined the Board once again. So this has been the broad chain, nothing exceptional to call out. By the way, the other 2 changes that we have kind of made is we've also -- just as part of the Board management, we have also kind of now constituted a Nomination Committee. We didn't have that earlier. But now that we have quite a few independent directors on the Board, we thought it would be appropriate to set up a nomination committee as well. And we're also increasing the size of the Audit Committee, from 2 independent members to 3 independent members.
Vipul Garg: The next question is from the line of Vijit Jain of Citi.
Vijit Jain: So congratulations on the successful transaction last month. And also, I guess, in a challenging quarter, I see that your adjusted EBIT margins are now at the lower end of your guidance despite the growth headwinds you saw in the quarter. So my first question is how should one look at your margin guidance from here, growth in the subsequent quarters, as you mentioned earlier, is going to pick up to achieve greater than 20% and you have all these cost measures that you've implemented. So that's my first question. How should one look at that guidance in that context. And then I'll come back for other questions, please.
Mohit Kabra: You see the overall guidance kind of remains of wanting to get into that 1.8% to 2% range as a percentage of gross bookings on the [indiscernible] operating margin. Now of course, within quarters, we'll kind of remain tactical. Like I said, while [indiscernible] was a good year, growth by, therefore, we were going to normal course. But including May and June, we realized that growth was being tepid. And therefore, we've kind of dialed up on better kind of operating margins at the net level. So I think we'll continue to keep doing tactical moves in line with how the market is behaving or other [indiscernible]. Very broadly, I think we kind of want to settle down in that range of 1.8% to 2% on a full year basis before we kind of revisit the longer-term outlook.
Vijit Jain: Got it, Mohit. My second question is just on the [ A&P ] spend, right? I know you've spoken about how you calibrated them. But when I look at the split of it, I would have normally thought that the customer incentive bucket is where you would have more immediate flexibility. And I do see that air ticketing, customer [ inducements ] kind of went up in the quarter, right? So I'm just trying to understand, is that more to do with closer to the end of the quarter where you were looking to also support growth? Or if I'm looking at it a bit differently? So that's the question.
Mohit Kabra: No. No, probably not in those lines. Actually, like I've always said, a large part of the sales promotion numbers which are put out on the bridge between the GAAP revenue and the adjusted margin that we report is based on large distribution, right? Probably may not be most kind of representative, particularly if you look at it in a snapshot basis, right? If you look at it only for one quarter or over a longer period of time, it is still more reflective. And therefore, it is much better to look at the overall customer efficient costs, [ airport ] marketing and sales promotion put together. I believe we've kind of come in at about [ 5.5 ] like you have been saying. We'll be fine anywhere being closer to the 5% range. We have generally been kind of below the 5% mark. This quarter, being an exceptional one in terms of what has played out in May and June, we have been slightly higher. It has also [indiscernible] to the fact that it's also linked into our adjusted margin also kind of blended basis coming in very strong compared to the earlier quarters and years. And therefore, to that extent, it comes in with improvement in the blend of business and in the improvement in the blended adjusted margin, it is a good expense to kind of incur. So this is largely going in tandem with that. So largely in line with how we wanted to kind of play out from a longer-term perspective. But yes, tactically, we'll kind of keep revisiting the overall customer acquisition expense, particularly the longer-term impact in brand marketing spends based on any specific one-off macro situations that may play out for certain weeks or months.
Vijit Jain: Got it. And the -- ordinarily, and when I look at your -- the monthly spread you've given, and thank you for providing that additional color in the filing. And just also your commentaries around where growth was -- you mentioned how international did very well and kind of offset some of the domestic leisure travel lane. Now when I look at the hotel business, for example, and I see that the night book is pretty healthy. You've said that international has done well. But the realizations or the GBV bookings on the hotel side is lower versus the nights booked. So I'm just trying to understand ordinarily, I would have thought international hire should mean, in terms of tickets or nights would mean GBV would also see that upward pressure. So just trying to understand that. And related to it, I suppose, with both the May and June events, wouldn't international outbound have seen more pressure than the domestic leisure? Just...
Mohit Kabra: Great questions, both, Vijit, and actually, the softening of the gross booking and growth percentage that you see largely comes in because of package is not going well, like I had called out. If there are 2 segments which kind of didn't do well, it was domestic year and domestic holiday packages. Holiday packages, as you know, from a gross booking point of view, are much higher. The average ASP for the positive package is much higher than hotel booking. And therefore, you see that impact playing out on the gross-booking level. But if you really look at it at the revenue or the adjusted margin level, the growth was much stronger because the overall room night growth has remained reasonably stronger. So this is largely the impact of holiday packages going down in the mix, nothing else. And secondly, on the other question, on outbound, yes, there has been pressure and there have been kind of also issues around, say for instance, certain airspace is being kind of geographically being closed at certain points in time. But overall, sentiment on international, we -- [indiscernible] of seems that, that wasn't as big as the overall sentiment on the domestic side. So we have seen more kind of muted kind of growth on domestic. International, we were able to kind of still see good growth. And like I said, I think it is also a little specific to us as a company because while the overall growth on, let's say, for instance, on the international side like I called out was about 21%, whereas the market grew only about 7%. So it is also specifically because we have been historically also over the last few years, driving international very strong, and that continues to be a thematic and we were able to continue to do that even during this reported quarter.
Vijit Jain: Got it. Understood. And yes, so I think those were my questions. Sorry, if I can, one last question though.
Vipul Garg: Just to be in interest of time, I would request you to come back in the queue.
Rajesh Magow: Sorry, Vijit. We'll take it off line.
Vipul Garg: The next question is from the line of Manik Taneja of Axis Capital.
Manik Taneja: I hope I'm audible. So while my question related to the customer acquisition cost has been answered, just a couple of bookkeeping questions with regards to the [ ESOP ] charge that we saw this current quarter and also on the [ ETR ]. If you could help us understand as to how should we be thinking about both these elements on a go-forward basis?
Mohit Kabra: Yes. On ESOP costs, like we've been saying, our endeavor is to kind of keep this within the $35 million to $40 million kind of a bracket for the full fiscal year. [indiscernible] kind of exercises pan out, how the grants are made, it could be kind of tweaks, between quarters, and you would have seen that in the previous years as well. So I think much more to kind of read out on the on the ESOP cost per se. On the [ ETR ] side, like we have said, we have another -- we have already kind of recognized the defer tax asset, and therefore, there is full reversal of that, which is happening in line with the profitability for the respective quarters. But going forward in another 2 years' time, I think we'll kind of get to full flexibility as well.
Manik Taneja: And Mohit, just with regards to -- so why we did see some impact through May and June and you're saying you're seeing some recovery on a day-to-day basis. If you were to hazard a guess between our hotels and packages business and the air business, which of the 2 segments do you essentially expect to essentially recover faster and get back to the normal trajectory in the [indiscernible]?
Mohit Kabra: If I just look back in the quarter that has already been reported, we saw a bit of disruption in May and June. Hotels has done much better, as you can see from the reported numbers. So I think the trending is there to kind of look at.
Rajesh Magow: Also maybe if I can just add one more point on top of that. I think maybe the right way to think about would be mostly the use case -- customer use case rather than just looking at a particular travel service, whether it is our booking or hotel or any of the other mode of transport. The impacted segment was only leisure, and it was supposed to be a sort of a high season quarter. Now this running quarter is not supposed to be a high season quarter because there are no summer vacation, there are no school holidays and no call, it holidays, et cetera. So that -- so leisure -- if you keep the seasonality in mind, all of the board should start rising, and we've seen that rising already because relatively, in any case, this nonleisure travel use case that happens in this quarter.
Mohit Kabra: Usually, I mean, historically, we've seen that, from a product point of view, if you really look at it, compared to stand-alone bookings, package bookings generally take a little longer to kind of come back post any macro disruption. So I won't be surprised if by the next seasonality, peak seasonality of Q3, packages would come back strongly as well.
Vipul Garg: The next question is from the line of Aditya Chandrasekar of UBS.
Aditya Chandrasekar: Just a quick question related to what was already asked on competition. I think you clearly stated that in air, in fact, you have gained a little bit of market share. But can you just give some color on hotels and especially buses as well because iXiGO has been stating that [ AbhiBus ] has also gained market share within the online segment itself. So just wanted to understand how we should kind of think about our market share in both hotels as well as buses?
Rajesh Magow: Maybe take the bus segment first, Aditya. And if you really look at the growth numbers that we've reported out on top of the scale and the size that we already have, I think it's a testament of the fact that even at a very high base, we've been able to deliver a very robust growth rate, which effectively means that we are getting disproportionate or continue to get a disproportionate share of the market. Why? Whether it is AbhiBus or any other player for that matter, because of the base, there's always a possibility that they may be gaining share, but that share also happens, comes from essentially to on 2 sides. One is the off-line market to online will continue to keep growing. And the second one is that there's a long tail of players. And if you end up sort of taking an aggressive approach, sometimes maybe with aggressive promotions, et cetera, you would definitely tend to, on a low base, get share, right? So I think we need to just look at this whole comparison, keeping all these factors in mind, and try to look at it more like-to-like more than -- and then maybe sort of conclude one way or the other.
Aditya Chandrasekar: And the hotel side, would we say that...
Rajesh Magow: For the hotels also. So as we have said in the past also, Aditya, I think it will be fair to say the Indian [ OTA ] segment, there is no real other OTA player, which has any -- and then lot of the public and the numbers are out there, are any meaningful. And we continue to, on our high grade, continue to keep growing. And our brand for hotel booking also continues to become stronger and stronger by the quarter. So therefore, the competition there for us is international plans, whether it is Booking or Agoda. Now given that they have more global sort of business model or a playbook versus very India and a regional playbook, if I may call it, because we've also gone to the Middle East now. Our strategy to drive hotel business and the consumer behavior is on the -- sort of promise to the consumer is very, very different than any of the global player will do. And also, the investments on the grounds are on the ground on the supply side are very, very different. So we have built our moat, all aspects of the business, very focused on Indian travelers and Indian market and Middle East, rather than any of the other global players who will be competing in 20 other markets and having a global sort of platform. So they will definitely have more spent on bringing customers from the foreign countries to India, which is like inbound travel, and they're also given our GDPR compliance platform now, at least for people on Indian -- of Indian origin, we've started to get traction because that was going to be our first strategic initiative to attract inbound travel into India. But as far as domestic and international are concerned, we continue to, of course, theoretically compete but continue to lead the show.
Vipul Garg: In the interest of time, now we will take the last question from Gaurav Rateria of Morgan Stanley.
Gaurav Rateria: Congrats on great execution. I have 2 questions, one for Rajesh and one for Mohit. So for Rajesh, just want to check on how do you see AI-led search and bookings for travel as an opportunity or as a threat? Can you highlight some initiatives which future-proofs our business or even kind of stand -- makes it a standout winner given competition may not have the depth and the bandwidth to invest in such kind of offering? And question from Mohit is that if you look at last 3 years as a trend on 1Q, the advertisement and promotion spend as a percentage of gross booking has gone up from [ 1Q '24 to 1Q '25 and 1Q '25 to 1Q 26 ]. So I'm just trying to correlate this to 2 or 3 factors. One is competition, which has largely been stable to benign. Second is share of repeat business, which I understand has been going up. And third could be the incremental investments in the new offering. So could you try and help me understand what could be the factor that is driving this up on a 3-year basis?
Rajesh Magow: Sure, Gaurav. Let me take that question. I was smiling because I don't know how, but I anticipate that you're going to ask the AI question. So I'll complement to you on that. So Gaurav, like you rightly called out, right? So one, of course, and we've also called out and for the last several quarters now that our strategy on product and technology has always been evolving around on one side, deep consumer insights; two, cutting-edge technology, whichever might be the new technology that might be emerging. And with that same theme, we've seen a lot of promise coming out of Gen AI, and we've been investing significantly behind that, and we will continue to keep investing. And we see it more us sort of leading the innovation through Gen AI, rather than overtly getting paranoid about potential disruption. Now theoretically, potential disruption can happen. But why would we not be in position to, given that we have massive data over the so many years. Now we have 83 million consumers who have transacted with us live to date on all our brands and we have a huge amount of traffic coming every day on our platform and transaction-related data, many other input signals from supply side, et cetera. All of that repository is only going to add more strength to our initiatives for us to be able to just come up with cutting-edge innovation on enhancing the consumer experience, which is one of the main areas where we are sort of investing behind leveraging Gen AI. And then the other area is, of course, the productivity, which is sort of also a consistent theme across the board where people are looking at and seeing where are -- wherever there are productivity gain opportunities, we should leverage the technology. And we are pretty much every -- and I highlighted 1 sort of 1 or 2 odd features that we released even last quarter. So pretty much every quarter, there will be something on the other coming out sort of following this strategy. And this is an evolving space, and we will continue to keep learning because here, the models are changing literally by weeks. And the space is so evolving and we'll also learn along the way. But we will continue to keep investing behind it. And we do believe we are in a better position given all the strengths that I called out, for us to be able to just sort of directionally, strategically innovate better for the consumers more than getting sort of worried about the potential disruption. So that's really our take on Gen AI. And Mohit, do you want to take the second question?
Mohit Kabra: Surely. Gaurav, this is a good question again. But my -- I see what happens is, over the years, if you also look at our mix of the business has been changing a bit as well, with more and more kind of increasing share coming in from nondomestic air kind of businesses. And therefore, I would just say that apart from looking at the customer action cost as a percentage of gross bookings, where you could see a slight kind of changes coming in, in line with the change in the blended margin. But if you look at it as a percentage of the adjustment margin that we report, it has largely remained at about 47% across the last 3 years in Q1. So I would just kind of also urge you to look at this as a percentage of the overall adjustment margin because based on the mix improvement, our ability to kind of spend a little more will be there.
Vipul Garg: This was our last question. Now over to you, Rajesh, for closing remarks.
Rajesh Magow: Thank you. Thank you, Vipul. And thank you, everyone, for your patience and for your time to listen in to us and for all the good questions that you had, and see you in the next quarter. Thank you.
Vipul Garg: Thank you, everyone. This brings us to the end of the call. You may please disconnect.